Peder Holk Nielsen: Good morning and welcome to the Novozymes conference call. Today, we will review our performance for the first 3 months of 2018 as well as the outlook and key priorities for the year. Our presentation should take around 20, 25 minutes and after that, we will take your questions. My name is Peder Holk Nielsen and I am the CEO of Novozymes. I am joined here today by the full executive leadership team and Investor Relations. Please turn to Slide #2. Sales in the first quarter grew organically by 2%, which is in line with our overall expectations. Back in February, we stated that growth would be higher in the second half of the year than in the first half and we now reiterate the 4% to 6% organic sales growth outlook for the full year. On an industry level, we are slightly ahead of plans in household care and a bit behind plans in agriculture and feed. We are monitoring the geopolitical agenda’s intentions that could impact global trade flows, particularly in agriculture. But with the current insight on these matters, we remain confident about our full year outlook. The EBIT margin was strong and close to 29%, including a negative impact from currencies. We are ramping up to support our increasing emerging market presence, but these investments are not fully reflected in the first quarter figures. So after delivering a solid first quarter, we maintain the full year outlook for the EBIT margin at around 28%. Our innovation pipeline is very healthy and progressing according to our plans. We have many near-term market opportunities as well as product launches, which we will talk more about as we get to – as they get to market during the year. Now, let’s look at the regional sales development before we move on to a discussion of the different industries. Please turn to Slide #3. As you know, we are investing in the emerging markets as we see significant emerging opportunities in these markets. Our organic sales growth in the emerging markets was 6% in the first quarter. That was driven by Asia-Pacific, and to a lesser extent, Latin America. The strongest growth contributor in the emerging markets, were household care and food and beverages. Developed markets remain crucial to Novozymes’ success as they represent roughly two-thirds of our overall sales. Here we continue to expand our offerings with many new and improved solutions across all segments. Frontier for grain milling, our yeast product, called Innova Drive for starch-based ethanol and our new enzyme for automatic dishwash are just a few examples. First quarter sales in developed markets were flat year-on-year, which was roughly as expected. Here, household care was soft, whereas bioenergy performed very well. All-in-all, sales were roughly as expected also from a regional point of you. And now, I hand it over to Anders to go through household care. Anders, please.
Anders Lund: Thank you, Peter. Please turn to Slide #4. Household care had a slightly better start to the year than expected. Sales grew by 1% organically in Q1 driven by positive developments in the emerging markets as well as continued strong growth in our dishwash segment. During most of 2017, we talked about how diverging trends were impacting our business. These trends have, to a large extent, continued in 2018 with solid growth from regional customers, while our global customers continued to focus on cost optimizations. We are encouraged by our regional customers’ interest in stepping up performance. This is closely linked to our effort to promote tailored innovations through our top 20 customer program. We have showcased how they can use enzyme technology as a key differentiator in the marketplace and these initiatives are driving strong growth with the regional players. Looking at the regional development of the business, we continue to see strong growth in Asia-Pacific, where all areas, China and India, Southeast Asia contributing to growth. Growth in the developed market was mixed. Cost optimization by some of our global customers continued to put a dampener on growth, while we see the dishwash segment continuing to deliver strong growth. Automatic dishwash is a very interesting market for us partly boosted by an increased demand for phosphate-free solutions as well as innovation. In Q1, we launched significant innovation for automatic dishwash with a new molecule designed to tackle dried-in cereals. With this exciting news – this is exciting news, which we will talk more about later in the presentation. I am also really excited about our first product from the freshness and hygiene platform. The product is being rolled out as planned in the emerging markets. Sales are ramping up as expected and will be more material in the second half of the year and in the years to come. If we move to technical and pharma, sales were down 10% for the quarter. Timing was the main explanation for this. And with that, I will hand it over to Andy. Andy, please.
Andy Fordyce: Thanks, Anders, Please turn to Slide 5. We had a good start to the year in food and beverages with 5% organic sales growth driven across the majority of our industry segments. We continued to invest in our portfolio of solutions to help our customers improve the quality and sustainability of their food and beverage products. I am pleased to see our efforts continuing to make progress. In the first quarter, we delivered solid growth in our baking business driven by increased uptake of our solutions for bread types consumed in Asia-Pacific and Latin America. We have been increasing sales efforts in these regions and that is paying off. To open additional opportunity, we have opened a state-of-the-art baking lab in Turkey. It’s a great place to work with regional customers from Middle East and Africa to showcase our products benefits for their business. This new facility will help to accelerate penetration in our emerging market baking business and to open up new application areas, specific to this high volume bread market. In Q1, the patent of our fresh keeping product, Novamyl, expired in the U.S. We have worked hard to prepare for this change by proactively reducing prices while securing long-term distribution and development partnerships. I feel confident that this preparation will help us to retain our strong position in North America. Sales of enzymes for the nutrition segment delivered solid growth in the quarter driven largely by Saphera, our unique innovation for lactose reduction in dairy. This solution is seeing good pickup across regions with Latin America giving particularly strong results. Saphera is being used by leading dairy companies in Brazil and Mexico, providing a solid growth driver for the future. Latin America is the world’s second largest market for lactose-free products and the positive customer reaction there is great to see. Our starch business performed well in the first 3 months of the year across markets driven by recent years innovation for yield improvement. We also see continued progress in rolling out our frontier grain milling solution. Our beverage business ended flat compared to Q1 2017 driven by good growth in our distilling business, whereas sales to the brewing industry declined. From a regional viewpoint, emerging markets had a strong start to the year, while developed markets were roughly flat compared to last year. So summing up, we had a good start to the year with good growth across our main industry segments. We continue to work rolling out innovation and penetrating the solid opportunities we see with customers across the globe. And now, I will hand over to Tina.
Tina Fanø: Thank you, Andy. Let’s start by looking at bioenergy on Slide #6. I am very pleased that we in bioenergy see a continuation of the good momentum from 2017. Sales were up by 9% for the first 3 months, supporting the decarbonization of transportation fuels. U.S. ethanol production is estimated to have been roughly flat in Q1 year-over-year, while producer margins and inventories have slightly improved. Although this is good news we remain cautious as margins continue to be low in historical context and inventories are still above average. We continue to see our broad and innovative product portfolio support the good growth in the market and we will continue to work closely with our customers to optimize their production through a tailored approach. I am also very pleased that we in Q1 launched Innova Drive. It’s our first starch-based yeast product. Although this is a new area for us, we have already seen a high level of interest in our offering. We are encouraged by the positive signs in the global ethanol industry in such markets as China and Brazil. In the U.S., we see both upside and downside due to the discussions around biofuel policies. We base our forecast on current global political conditions and on the shorter term, we see the current conditions for ethanol producers supporting our expectations for the full year. And now, let’s turn to Slide #7 for an update on agriculture and feed. As we have talked about previously, our agriculture-related business is more volatile than the other industries we serve. In this business area, organic sales declined by 5% in Q1. While part of this is explained by timing, sales came in slightly lower than expected. Our performance in feed enzymes was down mainly due to a tough comparison, because our alliance partner was building inventory in the first quarter of last year. We have a strong innovation pipeline in our animal health and nutrition business and are close to launch a product that should contribute to our performance in the second half of the year. Sales of animal probiotics developed positively during the first quarter, although from a small base. During Q1, we obtained registration in the European Union for Alterion, our probiotic solution for poultry. We now have the product registered in all main regions and this is a key milestone in our collaboration with Adisseo. Sales in BioAg ended down in Q1 mainly due to continued poor farm economics. Sales was also impacted by new import tariff on pulses in India, which led to lower expected acreage of the crop being planted in Canada. Over the coming years, we plan to introduce new breakthrough solutions from our joint R&D efforts to drive sustainable agriculture. As an example, The BioAg Alliance recently obtained approval to produce and sell Acceleron B-360 ST for corn. The upgraded version of the corn inoculant increases yield. Production and shipment of products to Monsanto are expected later during the year for the 2019 planting season. So, to summarize for both areas, ag and feed had a more challenging start to 2018. This was partly explained by tough comparisons in feed and continued headwinds in agriculture. In this area, I expect innovation to support growth in the second half of the year. Bioenergy had a very good start to the year supported by continued momentum for our broad offerings. Our first yeast product was successfully launched in Q1 and we expect to deliver more innovation during 2018 and the years to come. And now, I will hand over to Thomas.
Thomas Videbæk: Thank you, Tina. Please turn to Slide 8. It’s been an exciting start to the year from an innovation perspective. We see many near-term market opportunities and have more impactful solution coming out later this year. In the first quarter, we launched Innova Drive as mentioned, our first yeast product for conventional biofuels. This allows faster fermentations under tough conditions and at higher temperatures. Building on our strong position in enzymes for starch-based ethanol, we are now able to leverage synergies between yeast and enzymes. This enables higher ethanol yields and more efficient production for our customers. In the first quarter of 2018, we also launched a brand new enzyme class for automatic dishwash, adding to the two existing enzyme classes in this industry. This novel enzyme stems from our understanding of fiber structures and targets dried-in cereals solving an everyday consumer challenge. The technology supports the good traction we see in automatic dishwash and is an exclusive launch to one customer. Within animal health, we are working on a major innovation. This enzyme will enable increased uptake of nutrient and improved feed conversion rates in mono-gastric animals through a new mode of action. So to summarize, we had a good start to the year on the innovation front with two product launches and a number of exciting new innovation coming out later in the year. That’s all for me and I will hand you over to Prisca.
Prisca Havranek-Kosicek: Thank you, Thomas. Please turn to Slide 9. Now let me take you through the financial performance for the first quarter. Overall, as mentioned by Peter earlier, sales came in as expected at 2% organic growth. Household care was slightly better and agriculture and feed slightly worse. As you know, most currencies in our exposure, in particular the U.S. dollar are weaker than a year ago and we report a negative FX impact on sales of close to 8%. With current spot rates, the negative currency pressure should ease as we move through the year. Gross margin was flat year-on-year at 57.8%. We continue to see good productivity improvements and mix effects offsetting a slightly negative impact from currencies and input costs. Reported EBIT margin was up by 190 bps to 28.9%. This was despite a negative currency impact of around 1%. If we exclude the reorganization costs in Q1 last year, EBIT margin was on par. Investments to increase our emerging market footprint will continue to ramp up throughout 2018 and are not fully impacting the first quarter. The effective tax rate for the quarter was 20%, roughly 1% lower than last year. This relates to the transfer of IP assets to Denmark initiated in Q4 last year. Net profit came in 5% higher year-on-year. This was explained by higher EBIT, hedging gains, a lower provision for stock appreciation rights and a lower tax rate. Cash flow from operating activities in the first quarter was DKK403 million, roughly DKK300 million lower than Q1 last year. This was driven by higher working capital, which is as expected and is explained by timing. CapEx at DKK281 million was roughly flat year-on-year. All-in-all, we delivered a solid set of financial for the quarter as expected. Now please turn Slide #9 for the 2018 outlook. I am pleased to tell you that our outlook 2018 is maintained on all parameters. First quarter sales were overall fully in line with our expectations. On February 7, we guided a softer first half and relatively higher growth in the second half of the year. This is due to seasonality in BioAg and the expected contribution from the freshness and hygiene platform in the second half. Overall for the business, we expect 4% to 6% organic sales growth in 2018. We are making additional investments to support future growth and expect an EBIT margin of around 28%. Currencies, especially the U.S. dollar, are a drag in reported terms. We hedged our 2018 exposure at DKK6.18 to the $1, which is well below 2017 rates, but above the current spot rate. CapEx is expected at DKK1.3 billion to DKK1.5 billion and the outlook for free cash flow is between DKK2.3 billion and DKK2.6 billion. And now, I hand over to Peder for a wrap up. Peder, please.
Peder Holk Nielsen: Thank you, Prisca. Please turn to Slide 11. So, let me just quickly summarize our message today. With 2% organic sales growth in the first quarter, we are in line to deliver our full year outlook of 4% to 6% organic sales growth. Some of you may think it’s a steep climb from 2% in Q1 to 4% to 6% for the full year, but it is in line with our plans given the current insights. Also, let me once again remind you of, we stated that the second half of the year would be stronger than the first half already when we guided early February. When we look at the 4% to 6% full year outlook in more detail, we see only minor changes within the ranges that we provided back in February for the various segments. For the full year, bioenergy and food and beverages looks a bit better whereas agriculture and feed looks on the soft side. From a strategic point of view, we are seeing the benefits of our more customer-focused approach in the divisions. For example, we interact with new and existing customers through our Top 20 program in household care and by inviting regional customers to our new baking lab in Turkey. We are already seeing sales agreements materializing and this support our optimism about the shorter and longer term developments. Our innovation agenda is strong with many near-to-market opportunities. I mentioned a few of them in my introduction and there are many more to come. So, 2018 is moving ahead according to plans and we should be able to accelerate sales growth in 2018 and beyond. That concludes today’s presentation. And now, we are ready to take your questions. Operator, please begin.
Operator: [Operator Instructions] And we will now go to the first question, which is from the line of Ben Gorman of UBS. Please go ahead.
Ben Gorman: Hi, guys. Thanks for the chance for asking questions. And I guess a few for me. First of all, in terms of how much of a positive impact you saw from the automatic dishwash and product. Can you just clarify what’s the underlying household care number on organic have been negative in the quarter if you didn’t have this product, it sounds like negative in sort of the major international players and a bit more positive in terms of the local? And secondly, can you give us a bit more of an idea in terms of the innovation pipeline in bioenergy for the rest of this year? It sounds from the guidance actually the second half of this year for bioenergy to be weaker than the first, but how does the innovation sort of pipeline compared to what we had last year, obviously a massive outperformance last year versus the underlying volumes in the market? And then finally, just quickly on food and beverage, within the starch business, any specific commentary on starch in China? Was this actually a drag versus sort of tough comps in Q1 last year? It sounds like you had a particularly strong performance this time last year. And I just wondered whether this was sustainable or actually sort of normalizing. Thanks very much.
Peder Holk Nielsen: Thank you for your questions. We will let Anders talk about the importance of auto dishwash products. Anders, please.
Anders Lund: So you are right, we call out dish as being a strong growth driver and delivering 1% growth. Of course, we are doing the math, but we do not guide on specific segments and outline how those are driving growth. I think it’s important to note that what we callout as strong growth areas are dish and it’s largely the emerging markets and then we have some softness in the European segment.
Peder Holk Nielsen: And when it comes to the innovation pipeline within biofuels as you know, we have been introducing a whole number of different products into this segment over the last couple of years and we continue to find ways where we can increase value from our products at our end customers production sites, be it saving in energy, be it saving in chemicals and we will continue to do that. We introduced this first quarter a yeast product and we expect that we will see more yeasts coming into the market as the year progress. And Andy, starch in China, how is that going?
Andy Fordyce: Yes, starch overall looks good. China is an important part of that, but it’s to a lesser extent than it was last year based on the reduced corn prices. So now it’s more based on rolling out new innovation and just working together with customers in a great way.
Peder Holk Nielsen: So as you can hear that’s a lot of new products that drives growth across these different segments. We will take the next question please.
Operator: Thank you. That is over the line of Lars Topholm at Carnegie. Please go ahead. Your line is now open.
Lars Topholm: Yes, a couple of questions from my side. One is on BioAg, when I mentioned your comments relating to the Monsanto-Bayer transaction, you mentioned it’s not expected to take revenue for 2018. I just wonder since you specifically mentioned 2018, could there be any implications in the subsequent years, can you put some comments on how that alliance might affect your business? And then on the household care, we have now seen the oil price move up. And I guess one function of that is increased commodity price inflation for your large customers. We could see that in P&G’s Q1 results. But are there also some dynamic effects, i.e., a shift away from petroleum-based ingredients or what would it take before we see that? And then maybe one final question, in bioenergy, the fact that Green Plains Energy will shift to using Energen corn from Syngenta, could that hurt your growth rates after the 2018 corn harvest? Thanks.
Peder Holk Nielsen: Thank you. Good questions. We will let Tina start talking about BioAg and bioenergy. Tina, please.
Tina Fanø: Yes. So, the question was relating to the Bayer-Monsanto combination. So, it’s right that we highlight in ‘18 that we don’t expect any input. If you look at where Monsanto is strong as we have talked about before, it’s in corn and soy and it’s in the Americas. Bayer comes in with a complementary footprint. So, from that perspective, that could be opportunities for the alliance. However, it is too early to tell how it all will pan out. And we have also talked about that you could say we do think that we, together with Monsanto, have developed a very important asset and will for sure secure to – that we take good care of that going forward.
Lars Topholm: Is there any risk Bayer will want more than 50% of the economics?
Tina Fanø: Maybe. I think it’s too early to tell and speculate. There is a lot of different options how it could end. We are quite happy with what it is we have developed and how we see things going forward. On the Green Plains and Energen, so Energen corn is for sure part of the biofuel mix, it’s not something which we see, it’s for sure something which is out there and which we are competing against, but it’s only one enzyme, which is in the Energen corn and still there is a lot of other enzymes around it which is needed. So, it’s not something which I’m too worried about.
Lars Topholm: So it will not have any impact on your business?
Tina Fanø: Well, for sure it does have some impact on the global – or on the biofuel market. But in general, the performance we have seen in this quarter as well as towards the end of ‘17 as well as what we expect for the full year is that, first of all, we work closely with customers get them on a tailored enzyme offering, get them on, you could say, more value, so – a mix, a positive mix effect. And then we also take some share. So overall, we are quite confident in the outlook on bioenergy.
Lars Topholm: This higher oil prices, is that good or bad news?
Peder Holk Nielsen: So the way we usually talk about this is at longer term this is good news and it eases the conversations we have of why enzymes are relevant. Short-term, it will have less of an impact. I think it’s also important to consider that our customers need to believe in sustained, longer term high oil prices. If that’s the case, then we will see this being a positive supporter to our business.
Lars Topholm: Thank you very much for taking my questions.
Operator: We now go to the line of Michael Rasmussen of ABG Sundal Collier. Please go ahead. Your line is open.
Michael Rasmussen: Thank you very much. Three questions please. First of all, on the household care division, you have both in the past and also in this quarter talked about the cost focused large customers. Is this less in Q1 versus in the last couple of quarters or is this impact basically still the same? That’s my first question. Secondly, after the 1st of March and when Novamyl gone ex-patent, what kind of moves have you seen from competition to-date? And then the last question on the Innova Drive in Bioenergy, how many customers have you seen switched so far or asking this in another way, what is your market share in yeast at the moment? Thank you.
Peder Holk Nielsen: Thank you. Also good questions. So Anders, household care and the softness were the large customers, please.
Anders Lund: So what we have experienced in Q1 is very much the same development we also saw in ‘17. It’s no more, no less, but it is of course a drag to our business that we see these cost optimizations, but with a few of our selected global customers, but no more and no less.
Peder Holk Nielsen: Andy, Novamyl competition?
Andy Fordyce: Yes. So the patent expired in March as you indicated and as I said in my part of the script, we have been preparing for that for a long time. So, we haven’t seen any sort of major moves from competitors. You will remember, Novamyl has been off patent in Europe for a long time. So, the market has achieved a certain stability. We will see how it develops over the year, but we are comfortable with our position.
Tina Fanø: And on market share in yeast, so we launched the product here in February. We have been out as we talked about trialing in production scale as well before. We have converted a number of customers to also commercial pricing and they continue on the product. We don’t specify exactly how many wins and how much we have, but it’s a new area for us. So, we are just getting started.
Michael Rasmussen: Right, Tina. So, is it right to assume that the share of revenues is approximately the same as what we see in biomass conversion, i.e., a couple of percent of revenues or is it less?
Tina Fanø: It’s less.
Michael Rasmussen: Thank you.
Operator: Our next question is over to the line of Annette Lykke at Handelsbanken. Please go ahead. Annette, your line is now open.
Annette Lykke: Thank you so much. My question is related to the dynamics of the tariffs from India, but also how you see potential dynamics in terms of potential tariffs from Chinese on soybeans. I was just wondering, because one communication from you have been that once if tariffs are coming from Chinese on soybeans, this would mean that you will have the additional demand from the LatAm, which will not be affected by the tariffs. So I am just wondering how long time does it take to sort of ship and add additional crops in LatAm? So will there be a delayed effect, and for example, in China – sorry in India, where you also have seen tariffs now here in Canada, will that shift to another market and how long time will that take?
Tina Fanø: So, on the tariffs, it’s a very good question. If we look at – if we start out with India, so the tariffs came into place at around end last year, early this year, it’s about 30% to 50% depending on the specific crop. It’s something where when we look at the expectation – planting is just happening now in Canada and the expectation is that pulse crops will go down with – the acreage will go down with about 20% to 30%. It’s a matter of that the Indians want to try and incentivize their own production of pulses and they have way less use of inoculants compared to what they do in Canada. On the China and soybean and the global trade flows, it is difficult to predict what it is that would happen with these flows. It is so that soybeans is about half of our business in BioAg and it is so that in the U.S. well, you could say inoculants are used to a less extent that it is in Latin America. For sure there is some lag effect given that the crops needs to be planted until you can get them in.
Peder Holk Nielsen: So I think the bottom line is that of course we try to observe what’s going on out there in terms of tariffs and how these potential trade wars might be unfolding. It’s not like this scares us a lot. We see risks of some bumps on the road. But in general, we think Latin America is going to replace whatever might happen in the U.S. And as Tina pointed out, we actually have higher use of our products in Latin America than we have in the U.S.
Annette Lykke: Have you seen any sort of reduction in acres in the U.S. already now and sort of reflecting the uncertainty or is that something that’s first happens, our farmers first adjusting once things are for real or...
Tina Fanø: So what we are seeing, we are in fact seeing corn acres going down a bit in the U.S. and soy is roughly – maybe a bit lower, but it’s minor moves.
Annette Lykke: Okay. And then a final question for you Peder is when you say that you are basing on the insights you have to the geopolitical situation right now, is it correct for me to understand that you have not included any tariffs right now from China in your expectations?
Peder Holk Nielsen: As I said before, we expect that if these tariffs, as they are known now, were to come, which is a fair estimate, then we would see a pickup in Latin America that would compensate for it. So with the insight we have now, we are not changing our guidance.
Annette Lykke: Thank you so much.
Operator: We are now over to the line of Laurence Alexander at Jefferies. Please go ahead. Your line is now open.
Laurence Alexander: Good morning. Three questions if I may. I think last time you had the size of the alpha-amylase within your bioenergy, I think it was roughly about half of the business. But your mix has changed over the last few years. Can you breakout where alpha-amylase stands within the portfolio now? Secondly in BioAg, have you been doing any seed treatment trials in Latin America and if so can you give us a sense for what kind of performance you are seeing? And then lastly, can you walk through in a little bit more detail the bridge for getting technical and pharma back to positive growth?
Peder Holk Nielsen: Thank you. So I think the first question was about how our alpha-amylase portfolio is performing in bioenergy and the rough size of that portfolio. Tina, please.
Tina Fanø: Yes. So alpha-amylase is a large part of what we do. I mean, we have both the glucoamylases as well as the alpha-amylases, and it sits roughly, you could say, the value per gallon of ethanol is a bit more on the classification side, a bit less on liquefaction side, but they are roughly equal.
Peder Holk Nielsen: And Tina, BioAg performance or performance of our products in Latin America, I think compared to the U.S. was the question. Do we know where our products perform in Latin America?
Tina Fanø: Yes, our products do perform in Latin America and Latin America is a big part of our business there. They have a strong tradition of using inoculants down there. So, they are using it quite widely.
Peder Holk Nielsen: And Anders, on the technical industries, when will we see growth?
Anders Lund: So maybe just to explain a little bit of what you see right now, a little more than 1% of Novozymes is what we account as pharma business and that business has always been quite lumpy over the quarters and that’s part of the reason why we still maintain our guidance on the technical piece is, is of course that we expect to get some of that back during the year and also that we expect that our forest business will continue to deliver growth primarily driven by new innovation of the pre-launch we launched a couple of years ago.
Laurence Alexander: Thank you.
Operator: I do apologize, Hans Gregersen at Nordea. Please go ahead.
Hans Gregersen: Good morning. Food and beverage, why is brewing not having any growth momentum for the time being? And secondly, in relation to cover the other sectors, ag farming risk was mentioned. How does that play into food and beverage if there is adverse price movements in the raw materials? That’s the first question. Second question, Bioenergy, in yeast, as far as I understand, we can see the enzymal yeast process as a combined biological process. What is the scope for integrating and selling of those two products and how will that affect in ramping of this product? And then finally BioAg, you have first mentioned in soy now in some pulse crops that you are being hit by various factors in pharmacoeconomics, what is the risk that this can spread further into other crops? Thank you.
Peder Holk Nielsen: So I like the tonation in your question about brewing. Why is brewing not growing Andy?
Andy Fordyce: Thanks, Peder. So the brewing business, actually the majority of it is in developed markets, where we have seen quite a bit of consolidation. We have seen quite a bit of pressure actually on the brewers, because consumer consumption has actually gone down and it’s moving towards things like micro-brewed beer and other beverages. So, that’s been a bit of a tough part of it. Now last year, we actually had a nice counterbalance in the emerging markets, especially Africa, around local raw material brews, things like sorghum, things like cassava, we still have expectations that that will be a great driver for us. But in Q1, we actually had a situation where some of the launches from last year in Africa were actually withdrawn after sort of the market started to settle on and that meant that some of our customers had excess inventory in Q1 and things will pickup in Q2 and beyond.
Peder Holk Nielsen: And Andy, can you talk about the effect of raw materials pricing in the general food and beverage business?
Anders Lund: Yes. Hans, we don’t see a lot of, I would say, definitive effects as we move out farther into the value chain within food. I mean, it’s pretty stable, people are – eating habits don’t change a lot just based on slight movements in the ag markets and it’s a lower percentage of the overall cost. So, it doesn’t have a big impact farther out.
Peder Holk Nielsen: Thanks. And then Thomas on yeast please?
Thomas Videbæk: Yes, thank you. It’s a very good question, Hans, on how enzymes and yeast work together in the ethanol process. Of course, the overall goal of an ethanol process is to get ethanol yields out of the raw material applied. The enzymes, they breakdown the raw materials and make it nutrients for the yeast. The yeasts then convert those nutrients to ethanol and the more you can tailor the enzyme to breakdown and make the right nutrients available, the more you can optimize. But of course, as you also know, we have been in the enzyme business for many years and had a good business out of that without being in yeast. So, we are talking at the final defined paths of optimizing here, but there are certainly optimization possibilities in this and that’s why we have moved into yeast.
Hans Gregersen: And on a little bit more specific, if you take an enzyme cocktail from a competitor or – sorry if you take a yeast from a competitor against your enzyme portfolio versus your own yeast, what benefits can a user potentially see, if any?
Thomas Videbæk: Under the right conditions, the user will see that the nutrients made available is just a little bit more optimized when you use the portfolio of enzymes and the yeast from Novozymes, but we are in the details here, Hans. It’s not enormous differences. So we have to be careful we are doing this. But of course we get into this segment, because we think there is an optimization opportunity in doing it this way.
Hans Gregersen: What is the selling point then, is it a higher yield on the yeast itself?
Thomas Videbæk: The selling point in this specific yeast we just introduced is the robustness in the process. It’s a very robust yeast we have developed.
Andy Fordyce: And as you heard, it’s picking up very well in the marketplace. I will take the BioAg question if you allow me. I mean, we were actually not surprised by the Indian tariffs. We knew that when we did our plans for 2018 and also when we guided for 2018 obviously. The tariffs, as Tina pointed out, has led to a slightly – or at least we expect a slightly lower acreage – a lower acreage in Canada. And the recent information we have gotten from Monsanto about their expectations is slightly worse than what we had already built into our plans, but it’s not like this surprised us at all. And again, on soybeans, I think we are well positioned in Latin America to pickup the business. So with the insights we have now, I mean, the current projections for tariffs on American soybeans, we do not see that affect our business in a significant way. And let me just reiterate that the real driver of our business in 2018 is preparing for the much better corn inoculant that we will bring to the market in 2019. That is what is going to create the growth in the third and fourth quarter in BioAg.
Hans Gregersen: Thank you.
Operator: Our next question is from the line of Gunther Zechmann at Bernstein. Please go ahead. Your line is open.
Gunther Zechmann: Can I ask on your margin guidance please? So, your margin in the quarter was above your full year outlook despite the growth being below the 4% to 6% guidance. So it seems to me that things are getting easier on the profitability side. You get some operating leverage as you are confident with a 4% to 6%. Currencies are getting less adverse as well. So, is there anything I should know about reinvestments in the remainder of the year that would keep a lid on margins or is that more conservative state or a stance you take so early in the year? Thank you.
Peder Holk Nielsen: So, Prisca, margin guidance please.
Prisca Havranek-Kosicek: Thanks a lot. Yes, maybe to start, you are right, we are at 29.8% in the Q1, but you have to of course factor in the reorganization costs from – that we saw in the last quarter. We see basically a better mix impact in Q1, which is helping us, but it will level out over the year. We see deferred income as you know will be reduced. That will also hit margin that is a known fact. And then we also will see small effects from increased raw material prices that we don’t see in Q1 yet, but we expect that to kick in into the year. And then the overall theme, I think we have also mentioned in the announcement is as you know we are ramping up emerging markets and you see I think some of the sales growth also happening. So that was basically on an annualized impact also hit our P&L more as we go throughout the year 2018. So overall that is the reason why we are guiding to around 28% for the full year.
Gunther Zechmann: That’s very helpful. Thank you.
Operator: Our next question is over to the line of Sebastian Bray at Berenberg Bank. Please go ahead. Your line is open.
Sebastian Bray: Good morning and thank you for taking my questions. I would have three please. The first is just a quick one on technical. At what – following the divestment of Albumedix, what is the pharma component left in this business. What does it do? The second one is on bioenergy in China do you see any move amongst potential customers towards reaching the new goal set by the Chinese government of potentially hitting E10 nationwide by 2020? And also on bioenergy, could you please give some comments on the outlook over the next 2 to 3 years for 2G. Is this just something we should think of as being flat for the foreseeable future?
Peder Holk Nielsen: Thank you. So I will let Thomas talk about pharma and technical please. Thomas?
Thomas Videbæk: Yes, thank you. You are right we did the divestment of Albumedix back in December. That was our albumin business. So that has now left our books. What we have left is a business, what we call biocatalysis. This is an area where big pharma companies are using our enzymes technology to produce their APIs. So, that’s a business we have seen develop slightly over the last many years. It’s a small business, but it’s an okay business. And as Anders said earlier, it comes in lumps when our customers order from us. On top of this, we have a royalty income coming from the half-life extension albumin technology that was not divested. So, that’s the business we see in pharma now.
Peder Holk Nielsen: Thank you, Thomas. And Tina, the exciting movements in China and maybe the more general outlook for 2G please.
Tina Fanø: Yes. So on China, on their plans on getting to E10 in 2020. So, we have already seen if you look closely at the numbers, ethanol exports from the U.S. to China has in fact been taking place here in January, February. It depends a bit on tariffs and a bit on as well ethanol price in the U.S. whether that makes sense. But we do expect that the startup of the E10 in China will be. Yes, they have their own business, which is running and which is good. Then they will do some imports. Then they will gradually move towards shifting maybe some distilling assets over to biofuel and then they will also be doing some building themselves, but it does take time, but its interesting news and we do see interest also from U.S. ethanol producers in the area. So it’s all well and fine. And in China, in the ethanol business there, we are present there. We have been there for many years. We have a good position. So, we think things look good there. And then on 2G, so 2G, the way I look at 2G is that it is an interesting option. It’s a growth opportunity, which will materialize as we have talked about before. It’s something which has taken way longer than we had hoped for, but it’s still something which we expect will happen. The question is when, but I do think that is something which will come.
Peder Holk Nielsen: Maybe if I can just add amongst others, because that’s going to be the long-term solution in China. Also, if I can just add, the new legislation in Brazil, the RenovaBio legislation is also incredibly interesting. That also speaks about much higher volumes of ethanol of both 1G and 2G. So, there is a lot of good movements happening around the world.
Tina Fanø: And also to build further on it, there is also moves in India, where they rely on 2G, and then we have the European setup, where they also look a lot into doing 2G.
Sebastian Bray: Thank you. So, if I could ask a quick follow-up on the feed business, is this just as a quick crosscheck, is this simply a tough comps effect based on the inventory stocking that you mentioned or is there anything here to get – to pay more attention to in terms of the demand side?
Tina Fanø: Yes. So, it’s a tough comparison compared to first quarter 2017. We do, in general, see regional differences, a bit softness in Latin America, but very strong growth in Asia and North America. So it’s the tough comparison you should pay attention to.
Sebastian Bray: Thank you.
Operator: Our next question is from the line of Fulvio Cazzol of Goldman Sachs. Please go ahead. Your line is open.
Fulvio Cazzol: Yes, good morning. Thank you for taking my question. I have three actually on the operating margins, please. On the comments of input costs potentially becoming more of a headwind, can you just give us a sense of when you expect these to peak in terms of the quarters for this year? My second question is on the cost phasing relating to the emerging markets. Can you just give us an idea or quantify the effect of these ramp-up in costs in EMs and which cost lines could be most impacted please? And then my third question is on depreciation, obviously we have seen last year and this year CapEx running at roughly 2x depreciation, when could these investments start to filter through to the P&L, please? Thank you.
Peder Holk Nielsen: Thank you. That’s three good questions for Prisca. Prisca, please.
Prisca Havranek-Kosicek: Thank you very much. I will start with the operating margin and the input costs. We will see throughout the year, I would expect already basically starting now that you will see a slight impact, but you will not see a pronounced impact over the quarters. It’s a general trend basically as we basically get them from inventories capitalize into cost of goods sold. So that’s what you will be seeing. If you look at emerging markets ramp up, I think it’s a general trend if you compare Q4 with Q1, you will already see a sort of a pickup in the numbers and this will continue throughout the rest of the year. We are adding across the globe there. I think we had a baking lab, has been mentioned last month. So, I think there is no concrete answer I can give you there as to numbers, but I think that should give you a rough guidance. And as to which lines this will hit obviously we are talking commercial teams there. So, you would see that in sales and distribution and then also some general admin. The last one was on depreciation and CapEx, if I remember, could you – I think your question was around CapEx, when it will hit the P&L?
Fulvio Cazzol: Yes, because obviously we have seen a lot of investments going into CapEx. So I was just wondering when do you commission these facilities or R&D centers, which could obviously lead to a higher depreciation charge?
Tina Fanø: And you are talking about current CapEx in 2018, is that correct?
Fulvio Cazzol: And also what you did in 2017, because it’s been quite high for a while.
Tina Fanø: Yes, thanks for the clarification. Yes. So I think there has been three projects that has been – they have been mentioned. One is an ongoing project, which is the innovation campus in Lyngby, where you saw CapEx in 2017 and you will also see a sizable chunk in 2018. Now, that’s as you know, it’s an innovation campus. So it’s a mix of R&D facilities and office facilities. The second project is the expansion in the U.S. that we have basically finalized. You see that already in the capacity of 2018. And the third project is our facility in India, which is progressing well, is underway and towards the end of this year should be finalized.
Fulvio Cazzol: Great. Thank you.
Operator: We now go to the line of Klaus Kehl at Nykredit Markets. Please go ahead. Your line is open.
Klaus Kehl: Yes, hello. Two questions from my side. First of all, the hygiene platform, could you give us more a thorough update on this one, any data points you could share, feedback from clients, anything that could affect our conviction in this product? And secondly, just turning back to bioethanol, I must say that I have been pretty impressed by your performance lately or the last couple of quarters, but how big an impact is yeast in this quarter? Could you give us any kind of indication of what the organic growth would have been without this product simply to try to do the underlying calculations of the growth? Thank you very much.
Peder Holk Nielsen: Thank you. So Anders will talk in a very excited way about hygiene. Anders, please.
Anders Lund: Thank you very much. Of course, this is really exciting news. Let me share a few things for you. It is expected to hit the shelves within a couple of weeks in selected emerging market countries and ramp up is according to plan in selected emerging market countries and they will spread out throughout the remainder of 2018. Then of course that will also carry into ‘19 where we do currently expect that we will also see more formats being introduced also to other geographies in developed markets. As you know, this is a launch we are doing with an exclusive customer and we are not essentially disclosing which markets and countries that they are going to. You will have to carefully watch that yourself. Now, I also want to add that our freshness and hygiene platform is not only this one product to one exclusive customer. This is a platform that Novozymes is investing heavily in, so you should expect over the course of the next years that we will come out with more technologies also to more customers and we are reiterating our growth ambition of hitting DKK1 billion in revenues over the course of the next 5 to 10 years.
Peder Holk Nielsen: And thanks for your kind words on bioenergy performance, but is it all yeast, Tina?
Tina Fanø: No, it’s not and yeast is a small part of it. Although we are very enthusiastic about the launch and the progress we are seeing and it’s something we expect a lot from in the longer term, in our current numbers, yeast is a small part of it. But let me try to maybe explain a bit more about where the numbers is coming from. So, it’s a global growth which we see in bioenergy. So we see growth in the U.S., but also significant growth outside the U.S. An example is in Latin America where we do see a number of corn-based ethanol facilities getting up and running and where we see that the sales are contributing to growth. In the U.S., we see both some mix effects and we also see some market share gains.
Klaus Kehl: Okay. Just one follow-up question, if possible, when will you launch the hygiene platform for more than just one client? Will that be ‘19 or is it ‘20 or what are we talking about?
Anders Lund: So we will be out with some, what you can call technology that we are tweaking and that will be already earlier in ‘18 and ‘19, but the real big impact from more radical innovation is expected to hit the market in ‘20 for the broad market. But I think it’s important to stress that you can actually have hygiene claims with current technology. So a lot of the hot and humid areas you can actually benefit with current technologies, which we will of course also try to work with our customers on showcasing what capabilities those technologies have.
Klaus Kehl: Thank you very much.
Operator: We now go to the line of Hans Gregersen at Nordea. Please go ahead again. Your line is open.
Hans Gregersen: Thank you. Just two follow-up questions. One for Andy, you touched earlier on the bakery – sorry, the patent expiry in Europe on Novamyl. What was the competitive behavior in Europe post then? And going back to bioenergy, a challenge question, if we look on Monsanto’s guidance as an example for calling improvement towards 2030, one could argue that we will see a significant expansion in the corn harvest. Could that lead to that we will stay in 1G and it does not make sense to move into 2G from the cost point of view or CapEx point of view seen from bioethanol production manufacturers’ point of you? Thank you.
Peder Holk Nielsen: Andy, you lived through Novamyl changes in Europe. Please?
Andy Fordyce: Yes. So the same patents expired in 2009 in Europe and what we saw was over a couple of year period we saw some price erosion because of new entrants and more competition around the fresh-keeping platform. And that’s basically how we modeled our – let’s call it preparation in the North American market, was not that it would take 2 years, but to get it down to more market prices. And we have done that. We have got a good base price, we believe. I am sure there will be some market dynamics and some competition, but we feel like we are well positioned to maintain and grow our business both in the developed and especially in the emerging markets in baking.
Peder Holk Nielsen: Okay. Hans, does that answer your question, as there is a lot of noise on your line? I will give it a go at the second question, there was just a lot of noise interrupting here. So U.S. corn is really interesting. And I think longer term you can make many different scenarios, including ones that were corn will be so abundant in the U.S. that 2G is not a likely technology in the U.S. We are as you have heard us for the last, I think 3 or 4 years we have been more excited about what happens in Latin America and Brazil in particular, in Asia, in China in particular, but not only China, India too and then in Europe. Then we have actually been about the U.S. for that exact reason. Now the other thing that of course needs to be considered about the U.S. business is where the regulators wanted to take that over the next 5, 10 years. If the administration and again we are not booking this into our own numbers, but if they were to hike up the requested volumes of ethanol to where the original RFS were then – why the original RFS was, then I am sure 2G would also happen in the U.S., but that’s just not very likely at least not with the current environment. So corn, a lot of corn is great for our business in North America. It is not making it or it doesn’t make it very likely that 2G will happen in America, but it’s going to happen elsewhere. I think we can take one additional question please.
Operator: Okay. At this stage, there are no further questions in the queue. So may I please pass it back to you for any closing comments?